Operator: Good day, and welcome to the Bel Fuse Second Quarter 2012 Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded.
 I would now like to introduce your host for today's conference, Mr. Dan Bernstein. Please go ahead, sir. 
Daniel Bernstein: Thank you, Jamie. I would like to welcome everybody to our conference call to review Bel's second quarter 2012 results. Before we start, I'd like to hand it over to Colin Dunn, our Vice President of Finance. 
Colin Dunn: Good morning, everybody. Thanks, Dan. Before we begin, I'd like to read the following Safe Harbor statement. Except for historical information discussed in this conference call, the matters discussed, including statements regarding the effects and cause [ph] of and the anticipated savings resulting from Bel's streamlining activities, the time required to implement such streamlining activities, Cinch's place in the aerospace market, anticipated changes in product offerings and the company's ability to support more effectively its growing international customer base are forward-looking statements that involve risks and uncertainties.
 Actual savings from the streamlining activities and the relocation from Vinita could materially differ from the amounts that the company has projected due principally to uncertainties associated with modifying existing approaches to operations.
 Among the factors that could cause actual results to differ materially from such statements are: the market concerns facing our customers; the continuing volatility of sectors that rely on our products; the effects of business and economic conditions; capacity and supply constraints or difficulties; product development; commercializing or technological difficulties; the regulatory and trade environment; risks associated with foreign currencies; uncertainties associated with legal proceedings; the market's acceptance of the company's new products and the competitive responses to those new products; and the risk factors detailed from time to time in the company's SEC reports.
 In light of the risks and uncertainties, there can be no assurance that any forward-looking statement will, in fact, prove to be correct. We undertake no obligation to update or revise any forward-looking statements.
 And before we move forward, I just wish to apologize about the wrong telephone number in today's press release. Obviously, if you're on the call, we've got that sorted out.
 I'll move forward, talking about sales. Sales for the second quarter of 2012 were $73.2 million, it's down 7.5% compared to $79.2 million in the second quarter of 2011, but up 11.7% from the $65.6 million that we reported for the first quarter of this year. First quarter sales were seasonally low due to the annual lunar new year slowdown in factories in China, including our own production.
 Second quarter 2012 sales in our magnetic products group grew by 18.7% over the same period last year led by an increase of more than 35% in ICM, which is our integrated connected module product sales. This strong performance in magnetics was more than offset by decreases in our other product groups, most notably modules, which were down nearly 30% year-over-year. The significant decrease in modules was primarily due to a change in the order of  [indiscernible] of a major customer. 
 ICM backlog is up significantly, and lead times have extended to 14 weeks.
 Cost of sales and net results. The shift in product mix resulting from the increase in ICM sales and decrease in modules sales in Q2 2012 served to improve our gross profit margins slightly in comparison to Q1 of this year. However, cuts to sales was higher in comparison to the prior year, increasing from 82.6% of sales in the 3 months ended June 30, 2011, to 83.4% of sales in the 3 months ended June 30, 2012. This increase was due to many factors, but  mainly higher labor cost due to government-mandated wage and overtime pay increases in China that have not been passed along in the former price increases. Although ICM sales and backlog have increased, they remained slightly below the highs we saw in the past. As a result, we will be implementing overhead cost reductions in our facilities in Asia in order to bring overhead in line with the current low levels of production required to meet demand.
 The amount of savings and the cost to implement these steps are still being developed. We're also taking various steps to reduce costs in North America. As one part of our North American restructuring plan, we recently announced that we will move out Cinch factoring facility in Vinita, Oklahoma by the end of the year and move a major portion of these operations to a new facility in McAllen, Texas. The proximity of the new Texas facility to our existing factor in Reynosa, Mexico will reduce traffic takes [ph] and logistics cost and shorten customer lead time for Cinch products. The total North American restructuring is expected to cost an additional $4.1 million in the second half of 2012 and will reduce operating cost for approximately $4.2 million annually once it is fully implemented by the end of this year.
 During the second quarter of 2012, we determined that our investment in shares in Pulse Electronics was  other than temporarily impaired after an extended period of decreases in the macro value below our cost bases in that stock. We recorded a pretax impairment charge of $478,000, which is approximately $296,000 after tax to write down the investment in Pulse shares in the June 30 value of $1.97 per share. 
 On an unaudited GAAP basis, Bel reported income from operations of $2.4 million and after-tax net earnings of $1.5 million for the second quarter of 2012. Last year, we reported income from operations of $160,000 and an after-tax net loss of $574,000 for the second quarter of 2011.
 To state these results on a comparable basis. Non-GAAP income from operations for the second quarter of 2012 was $2.6 million compared to non-GAAP income from operations of $3.2 million for the second quarter of 2011. Restructuring, reorganization, severance and other charges have been excluded from non-GAAP income from operations for the second quarter of 2012, while severance and litigation charges and costs associated with the pulse proxy initiative have been excluded from the comparable 2011 non-GAAP income from operations. 
 The decrease in second quarter of 2012 versus 2011 non-GAAP operating income is primarily attributable to lower sales revenue combined with the decrease in gross profit margins described above. A reconciliation of GAAP to non-GAAP measures is included in our press release today.
 Turning to SG&A. The dollar amount of selling, general and administrative expenses decreased from $10.4 million during the 3-month period ended June 30, 2011, to $9.5 million for the second quarter of 2012. SG&A as a percentage of sales for the second quarter of 2012 was 13%, down slightly from the 13.2% of sales during the second quarter of 2011. 
 Taxes. Bel recorded a provision for income taxes of $500,000 for the 3 months ended June 30, 2012, compared to $900,000 for the 3 months ended June 30, 2011. The company's effective tax rate, which is income tax rate provisions percentage of earnings before income taxes, was 25% for the 3 months ended June 30, 2012, down from the abnormal 254% for the same period in 2011. 
 The company's effective tax rate fluctuates based on the geographic segments in which the pretax profits or losses are earned. Of the geographic segments in which Bel operates, the U.S. sets the highest tax rates. Europe's tax rates are generally lower than U.S. tax rates, and Asia has the lowest tax rates. The very high effective rate in 2011 was primarily due to litigation charges and other factors resulting of losses in Asia with minimal income tax benefit.
 Balance sheet, cash and equivalents. At the end of June, 2012, our cash, cash equivalents and investment securities were $87.4 million, which was $6.6 million less than our December 2011 balance of $94 million. The decrease in cash resulted primarily from the payment of $2.7 million with the acquisition of Gigacom Interconnect and $2.3 million of capital expenditures and $1.6 million in year-to-date dividend payments, partially offset by earnings net of unfavorable operating cash flows.
 Receivables and payables. Receivables net of allowances were $43.5 million at June 30, 2012, compared to $39.1 million at December 31, 2011, an increase of $4.4 million. Our accounts payable June 30, 2012, were $19.7 million, an increase of $1.3 million from December 31, 2011. 
 Inventories at the end of June 2012. Our inventories was $57.6 million, up $4.2 million from the December 2011 level. 
 Stock buyback. The Bel Board of Directors has approved the buyback of up to $10 million of Bel's Class B stock in the open market. 
 Other balance sheet comments. Our capital spending for the 3 months ended June 30, 2012, was $1.2 million, while depreciation and amortization was $2.1 million. Our per share book value at June 30, 2012, was $18.86, that's $18.86, including goodwill and intangibles. And if we exclude the goodwill and intangibles, our per share value was $17.39.
 Outlook. We are continuing steps to reduce cost worldwide through the announcement of American restructuring plan. And we have developed plans for specific and immediate overhead spending reductions in Asia. These plans will involve significant expense and cash outlays during the second half of 2012. Some of the benefits will begin immediately, but will likely not be fully realized until 2013. In addition, we are exploring several potential acquisitions representing about $80 million in additional revenue on which we expect final decisions commencing in the third quarter of 2012.
 That ends my comments. And now I'll turn the call back to Dan. 
Daniel Bernstein: Thank you, Colin. Jamie, if possible, can we open up the call for any questions that are out there? 
Operator: [Operator Instructions] Our first question comes from Chris Godby from Stephens. 
Chris Godby: First of all, could you possible break out the segment revenues for the quarter? 
Colin Dunn: Segments. 
Daniel Bernstein: Do you have an idea, Colin? 
Colin Dunn: Yes. 
Daniel Bernstein: Okay. For the modular group was $18,608,000; for the magnetics was $24,558,000; for interconnect was $27,367,000; and for fuses $2,688,000, which would give us a total of $73,221,000. 
Chris Godby: Great. And then next question. Could you go into a little bit more detail on the restructuring program? In particular, how should we think about how the costs will be spread out between 3Q and 4Q '12, the $4.1 million? 
Daniel Bernstein: I think we're -- the plan is we're mending out -- the 4.2 plan deals with North American operations, and that's mainly with the Cinch operation in Vinita. And I would  [indiscernible] at this time, we're trying to build of actual buffer stock. We have received a lot of orders coming in from Boeing, so that's affecting some of our timing. So I think it's too early to tell when people are leaving or when people are not leaving, but it's our goal by the end of the year that the operation should be totally moved to Texas. 
Colin Dunn: I would think that most of it is severance and to get the people to stay on until -- while we want them and also it's part of the severance package. The incentives are for them to stay on through, mostly through end of the fourth quarter. So we expect the actual bulk of payments will be made in the fourth quarter. 
Chris Godby: Okay, fair enough. All right. And this was the second straight quarter of margin expansion quarter-over-quarter. Can you maybe talk about what your expectations are for margins for the remainder of the year? 
Colin Dunn: Well, this part of the exercise towards really taking a very hard approach to overhead reductions. So we've got to get more costs out. While we still got fairly high maturity cost, there is a little bit of softening in the marketplace. It just takes a little while on material costs to flush through the system, and we're hopeful that'll help a little bit. But primarily, we're still -- the pricing is still not where it needs to be. 
Daniel Bernstein: But from a margin standpoint, we're are going to be running at a certain period of time, 2 factories building the same product. So again, for the third and fourth quarter, our goal is to clean up everything as we can, and then start the beginning of next year fresh, and that's our -- hopefully we start back with substantially greater margins than we have today. 
Colin Dunn: And again, the other aspect is going be the mix we've got. And some of the lower-mixed products have been down a little bit over the last quarter. If they come back strong in the later part of the third quarter or the fourth quarter, that will slow down the margin a little bit, but we can -- our approach is really more what ends up on the bottom line, quite frankly. And sometimes, if that's going to give us a lower margin, then were happy with that. But the bottom line is what really counts at the end of the day. 
Operator: The next question comes from Hendi Susanto from Gabelli & Company. 
Hendi Susanto: First, could you provide business insight into inventories at your customer and distribution channels? And also what Europe looks like in the second quarter? 
Daniel Bernstein: I don't think anybody's jumping up and down regarding Europe, that's for sure. I think again, there's so much uncertainty out in the market today. I mean yesterday, I guess UPS reported their earnings, and I don't think you can find a better barometer than UPS. And they see soft sales going forward to the second half of this year. Then you see Cisco laying off 1,300 people, and Cisco is our largest customer. So again, we are not overly -- you would say we're very pessimistic, I would say the next 6 months and at least until after the European situation and the presidential election is resolved. So again, we don't see any bright lights or anything shining into the beginning of next year most likely. 
Hendi Susanto: And then how about inventories at your customers and distribution channels? 
Colin Dunn: I think -- sorry, Hendi, what was that? 
Hendi Susanto: Inventories? 
Colin Dunn: Inventories? As usual, we don't have a huge amount of insight. But I think they're sort of fairly normalized at this point. One thing that we do have going on is some of the larger customers have put more emphasis on, well, hubs, inventory hubs in their factories, in their contract as factories, so that what we have in the marketplace today is a lot of the manufacturers have inventory sitting in the -- on their books but they're at their customers' factories. So that's in effect increase the inventory for most of us, I think. But when we have that in place, there's less incentive certainly for our customer to have inventory on their books. So that being the case, particularly for the manufacturers who we deliver to, particularly the processes, the manufacturing -- contract manufacturers in Asia, I think the inventory is down from where it might have been previously, and we're seeing a fairly strong demand. We don't do an enormous amount of business through the typical distributor channels, but we are seeing a fairly healthy demand through those channels. So that would tend to indicate that most folks aren't carrying high levels of inventory. 
Hendi Susanto: Okay. And then without giving too much detail about your potential acquisitions, would You give some insight whether you are targeting more of products in your core area or whether you're targeting to expand your product portfolio? 
Daniel Bernstein: I think our goal -- as we said all along, we have a couple of goals. One goal has always been since acquiring Cinch, we felt that Cinch is a good footprint to entree [ph] into the aerospace military business with the recent acquisition of Gigacom allows us to move up the technology ladder. I think anything that can support the aerospace military business, we will focus on. The other area we spend a tremendous amount time is our DC-DC converter, which is considered our power division. Most power companies have the AC-DC to round out their product lines. Our customers have been requesting for the last 2 or 3 years, "Bel, you made DC-DC, why don't you make AC-DC?" So that's been a major focus for us. And then any acquisition that can help us with our overheads and where we see a great opportunity synergies, we always take a hard look at that company. So again, we're looking within the basket of products, only to add products that fit very nicely into that basket. And then again, we, I mean we branch out into our, what we call, mature Bel product line, and there's opportunities for synergies to make us a lot more cost competitive. 
Hendi Susanto: Okay, got it. And with regard to the operating cost saving of $4.2 million that you are targeting, could you give some breakdown where we would see that in terms of line item, whether it would be more in R&D or SG&A for example? 
Daniel Bernstein: Colin? 
Colin Dunn: Okay. It will -- most of it will come through cost of sales. It'll come through the labor cost. That's primarily labor -- manufacturing labor costs reductions. Plus some of them will come through overhead. But again, most of that overhead is manufacturing overhead, so it's all going to come through on the operating line and not through the G&A. 
Hendi Susanto: Okay. And then in light of some potential acquisitions in the near future and then also the share repurchase that you may engage, I mean, what would be the ideal cash balance -- cash amount in your balance sheet going forward? 
Daniel Bernstein: I think, again, for us, I think we always felt that we had way too much cash. I would tend to think that the board has -- feels, again, I don't think we, if we found the right acquisition, I don't think we'd have a problem with taking debt on. I was looking at the past history over the past 8 years, in a down market that cash is king. I think our goal is to try to strive to have -- get down to $15 million or $20 million. And I think we would feel comfortable running the company with $15 million to $20 million on hand. 
Colin Dunn: And one thing I should clarify. I think I wasn't clear before when I was talking about when we would have the expense. The cash outlay will be in the fourth quarter for most of the restructuring. However, the expense will be spread through the third and fourth quarters, but the actual cash will go out in the fourth quarter. 
Operator: [Operator Instructions] The next question comes from Mike Cikos from Sidoti and Company. 
Michael Cikos: All my questions were answered previously. 
Operator: [Operator Instructions] The next question comes from Ted Moreau from Knight Capital. 
Ted Moreau: Forgive me if you've covered this a little bit, Dan and Colin, but can you just walk me through the product -- new product timetable and what it might mean in terms of your margins and perhaps revenue contribution? Is this something that's coming in the next 1 or 2 quarters? Or are we looking out '12 or... 
Daniel Bernstein: I think, again, from our standpoint, new product development, I think we're not going to see anything that's going to give us a major hit in the near 6 months to a year. I think again, we believe very strongly that we're focusing more in acquisitions for the growth of the company. The stuff we're doing today with Cinch and things that we're trying to do with Boeing and Airbus, generally, that takes anywhere from 4 to 5 years for traction, so that's definitely a lot longer perspective. But then again, we just signed a Boeing contract last week, and that contract was for 6 years. And our average -- historically, with the Ciscos, Junipers and the HPs of the world, we're gearing on quarterly to 6-month pricing. So again, to get to the margins that we're seeing at Cinch, we don't really see some substantial growth without acquisitions for probably 4 years. With acquisitions, again, we're really focusing on that, so we'd like to get that group up $100 million as quick as we can. 
Ted Moreau: Right. And, Dan, is it fair to say though that the -- I assume you do accretive acquisitions but... 
Daniel Bernstein: I hope so. No, but just being honest. With the Gigacom acquisition, because it was a technology startup, it wasn't -- I don't think it was accretive, but it was only $3 million. Then again, it gave us technology that allowed us to participate in a lot of the committees that are developing new cutting-edge products for the planes. So when we looked -- I  would probably say that generally, I think with the interest rates 0.5% and $80 million in the bank, I would hope most acquisitions would be accretive. 
Ted Moreau: Right. And would it be fair to say that between the acquisitions and new products as you would look out let's say, over a 5-year period or so. I mean, you would expect that your profitability profile, I'm sure you're doing things that are -- that's got positive rates of return so that your profit profile would gradually improve over this time period. That's what I would... 
Daniel Bernstein: Our goal and the mandate that the board set for us is a bare minimum, our goal is to shoot for $0.25 a share. And that's what -- that's what we start just as a bare minimum. And I think generally, our bonus structure doesn't kick in until it gets above that number. And I think that's -- initially, that's what  we're striving with all managers in a worldwide basis when we go through this analysis of saying what cuts we have to make, what cuts we can't make is basically we have to get this company to that point as quick as possible. And then we're -- hopefully our goal, again was, I don't know, psychologically, that's bare minimum, but I'd really feel comfortable if we got to $2 a share per year. I think is a reasonable profit for us. 
Operator: At this time, I show no further questions. [Operator Instructions] And there do appear to be no further questions. I would now like to turn the call back over to you, Mr. Bernstein. 
Daniel Bernstein: Thank you, Jamie. Once again, we're sorry for the confusion that we put out there. Again, I think we are very excited at this time with Bel. I think the buyback represents that. I think, hopefully, I'll knock on wood that we are hopefully should be announcing some acquisitions shortly, and I think you're going be very pleased on how this company moves forward. And thank you for your support during these difficult last 3 or 4 quarters. That's it. 
Operator: Ladies and gentlemen, that does conclude the conference for today. Again, thank you for your participation. You may all disconnect. Have a good day.